Executives: Jennifer Driscoll - Vice President of Investor Relations Denise M. Morrison - Chief Executive Officer, President and Director B. Craig Owens - Chief Administrative Officer, Chief Financial Officer and Senior Vice President Anthony P. DiSilvestro - Senior Vice President of Finance
Analysts: Edward Aaron - RBC Capital Markets, LLC, Research Division Bryan D. Spillane - BofA Merrill Lynch, Research Division Christopher Growe - Stifel, Nicolaus & Co., Inc., Research Division David Palmer - UBS Investment Bank, Research Division Akshay S. Jagdale - KeyBanc Capital Markets Inc., Research Division Kenneth Goldman - JP Morgan Chase & Co, Research Division Matthew C. Grainger - Morgan Stanley, Research Division Eric R. Katzman - Deutsche Bank AG, Research Division Andrew Lazar - Barclays Capital, Research Division Robert Moskow - Crédit Suisse AG, Research Division Alexia Howard - Sanford C. Bernstein & Co., LLC., Research Division Jason English - Goldman Sachs Group Inc., Research Division Robert Dickerson - Consumer Edge Research, LLC Erin Swanson Lash - Morningstar Inc., Research Division David Driscoll - Citigroup Inc, Research Division
Operator: Good day, ladies and gentlemen, and welcome to the Campbell Soup Company Third Quarter 2012 Earnings Conference. [Operator Instructions] As a reminder, today's conference call is being recorded. I would now like to turn the conference over to your host, Jennifer Driscoll, Vice President, Investor Relations. Please begin.
Jennifer Driscoll: Thank you, Sean. Good morning, everyone. Welcome to the Third Quarter Earnings Call and Webcast for Campbell Soup Company. With me here in New Jersey today are Denise Morrison, President and CEO; Craig Owens, Senior Vice President, CFO and Chief Administrative Officer; and Anthony DiSilvestro, Senior Vice President of Finance. Denise will kick us off today with a strategic update followed by comments on our results for the third quarter. Craig will give you his overview of the quarter and first 9 months, as well as our expectations for fiscal 2012. Then after we take your questions, Denise will wrap up the call with a few closing remarks. Before we go over the usual reminders, we'd like to invite all of our listeners to join our webcast next week on Wednesday, May 30, at 8 a.m. Eastern Time. We'll be webcasting Denise Morrison's presentation at the Sanford Bernstein Strategic Decisions Conference in New York. Today, as usual, we've created slides to accompany our quarterly earnings presentation. You will find the slides posted on our website this morning at investor.campbellsoupcompany.com. Please keep in mind that this call is open to members of the media who are participating in listen-only mode. As a reminder, our presentation today includes forward-looking statements, which reflect the company's current expectations about future plans and performance. These forward-looking statements rely on a number of assumptions and estimates which could be inaccurate and are subject to inherent risks. Please refer to Slide 3 in our presentation or to the company's most recent Form 10-K and subsequent SEC filings for a list of the factors that could cause our actual results to vary materially from those anticipated in our forward-looking statements. Because our presentation includes non-GAAP measures, as noted by SEC rules you'll see on Slide 4, we've provided a reconciliation of the measures to the most directly comparable GAAP measures as an appendix to the slides accompanying the presentation. These slides, as well as our earnings release and selected quarterly financial data, also can be found on our website. And with that, I'll turn the call over to Denise.
Denise M. Morrison: Good morning, everyone, and thank you for joining Campbell's Third Quarter Conference Call. Nine months into our transition, we remain confident and focused on executing our strategic plan and improving our performance across our 3 broad categories: simple meals, baked snacks and healthy beverages. We are making significant investments in our brands and developing a meaningful innovation pipeline to satisfy both our loyal core consumers and to capture the taste buds of new ones. Before I became CEO last August, the Campbell leadership team examined the fundamentals of our entire company. We challenged the conventional thinking about our businesses and our strategies. The strategic framework we put in place at the beginning of this year is the foundation on which we build our growth plans. This was not a simple course correction. We are building a business for the long term. This morning, I will provide my perspective on our execution as we continue to advance our 3 growth strategies. As many of you know, those strategies are: stabilize and then profitably grow North America Soup and Simple Meals; expand our international presence; and continue to drive growth in healthy beverages and baked snacks. Under our new strategic framework, we have placed the consumer at the center of everything we do. In the quarter, consumers continue to be pressured, particularly in developed markets. This is the new reality we face. The story is a familiar one. Trips to stores are down, and dollars per trip are down, impacting the performance of food sales across the industry. In fact, many center store categories, particularly in the grocery channel, are facing significant growth challenges. Consumers are making different choices, including where they shop, what they purchase and how tightly they manage their food budgets. Our overarching goal is to delight consumers with tasty, affordable, nourishing, convenient food and do it their way. Our consumer insights and understanding of key trends around culinary, taste, wellness, technology and globalization are having a profound impact on how we approach our business. These insights are fueling our innovation pipeline for fiscal 2013 and beyond. In terms of brand building, we recognize that optimizing all of the drivers of demand will look different for each of our businesses depending upon the consumer, customer and competitive situation. In our U.S. Soup business, this means having the right combination of drivers, including advertising and consumer promotion, product quality, differentiated positioning of our brands, the right price value, trade promotion and, finally, distribution channels and placement on shelf. Getting this right on our base business and executing with excellence is foundational to our growth. On top of a stable base business, the innovation agenda that we have set in motion will accelerate our growth over time. This quarter, we significantly increased our long-term brand-building efforts across most of our businesses, with advertising and consumer promotion up 13%. As we announced in July, we targeted $100 million in new brand-building and innovation initiatives this year. This investment is critical for our future growth, and we are on track to spend that $100 million on new product launches, brand-building, R&D, funding our innovation teams and emerging markets. At CAGNY, we shared some of the initial innovations resulting from this investment. We now have 52 new products going to market that we’ll start to ship in quarter 4. Customers have responded favorably to the new products that we have planned. Although we had executed against our new initiative spending, our total advertising and consumer spending for the year is not as high as we originally planned due to our ongoing management of base spending in a tougher environment. For example, we have shifted some marketing expense to trade promotion in our Global Baking and Snacking businesses to address competitive issues. Excluding currency, our total sales growth in the quarter was 1% compared to a year ago, which is also an improvement versus the first half. U.S. Beverages led the way with a 5% increase, driven by market share gains and new product introductions. Global Baking and Snacking sales increased 2%, led by Pepperidge Farm. Organic sales rose 2% in International Simple Meals and Beverages, and North America Foodservice sales were comparable with last year. U.S. Simple Meals declined 2%. As we anticipated, our pullback in trade spending and price realization in a competitive arena had an impact on our sales of U.S. Soup. Having said that, I am not happy with our U.S. Soup performance this quarter. I know we can do better. We continue to review all aspects of the U.S. Soup business and anticipate making further execution adjustments based on new insights. The U.S. Simple Meals business is meeting our profit expectations but is not yet delivering top line growth. In another part of the world, we continue to struggle in Australia with a difficult consumer and customer environment. We reiterated our guidance for F'12 today. The guidance reflects the strategic transition we are making and our investments in brand-building and innovation to change our top line trajectory. It also reflects the headwinds we are facing in the U.S. and Australia. We will be near the low end of our guidance range for sales and adjusted EBIT and near the high end of the range for adjusted EPS. Bigger picture, we are establishing the foundation to drive long-term growth at Campbell. With that, I'll turn the call over to Craig for his analysis of our financial results and expectations.
B. Craig Owens: Thanks, Denise, and good morning. I'll spend a few minutes to review our third quarter results and segment highlights, and I'll follow that with a recap of our year-to-date results and finish by briefly discussing our full year guidance. For the quarter, we reported net sales of $1.8 billion, comparable to the third quarter of 2011. Excluding the impact of currency, organic net sales increased by 1%. We recognized some additional restructuring charges in connection with the program that we announced last June. Excluding that impact, operating earnings decreased 13% this quarter to $268 million. This was primarily due to cost inflation, increased marketing investment and lower volume, partly offset by higher selling prices and productivity improvements. On a segment basis, sales gains in Global Baking and Snacking and U.S. Beverages were offset by declines in U.S. Simple Meals and International Simple Meals and Beverages. Operating earnings were down across all of our segments. Adjusted earnings per share were $0.56 this quarter, a 2% decline as compared to the third quarter of 2011. Earnings per share benefited from a lower tax rate at fewer shares outstanding, mostly offsetting the lower EBIT. In the third quarter, our reported net sales were comparable to the prior year. Organic sales increased by 1%. You'll note that the detail on Chart 15 does not add due to rounding. As you can see on the chart, the increase in pricing of 3 points was offset by the negative impact of increased promotional spending of 2 points and a decrease in volume and mix of 1 point. The majority of the pricing gains have come from our list price actions in U.S. Soup and in our Baking and Snacking segment, taken to partly offset the impact of inflation. The promotional spending variance reflects the higher rates of spending in our Baking and Snacking business. Our gross margin declined from 40.4% in the third quarter of 2011 to 38.8% in the current quarter, a decrease of 160 basis points. The decline was primarily due to cost inflation, increased promotional spending and unfavorable mix, partially offset by higher selling prices and productivity improvements. Overall, our inflation rate and cost of goods sold was about 6% for the quarter. Our gross margin performance is below our own earlier expectations, primarily due to higher rates of promotional spending in our Baking and Snacking segment. The negative mix impact reflects our lower margin segments outperforming our higher margin segments. Our marketing and selling expenses increased by 5% to $256 million compared with $243 million in the prior year, primarily due to higher advertising and consumer promotion expenses, partially offset by lower selling expense. In the third quarter, advertising and consumer promotion expense increased by 13%, reflecting brand building investments across most of our businesses. Most notably, we significantly increased advertising in our U.S. Simple Meals segment, accounting for more than 1/2 of this increase. Administrative expenses decreased $4 million to $144 million, primarily due to the benefit of cost savings from restructuring initiatives. As I noted earlier, adjusted EBIT declined 13% for the quarter. Below that line, net interest expense increased 13%, an increase of $3 million, reflecting a higher proportion of fixed-rate debt in the portfolio. The adjusted tax rate declined by 8.2 points to 26.1% from 34.3% in the prior year due to lower taxes on foreign earnings associated with revised dividend projections. Reflecting the lower tax rate, adjusted net earnings were down just 4%. Adjusted earnings per share declined 2%, benefiting from a 2% decrease in diluted shares outstanding. Third quarter segment sales results and the corresponding organic growth rates are shown on Slide 18. U.S. Simple Meals sales declined 2%, driven by declines in U.S. Soup. U.S. Soup sales fell 3% this quarter as lower volumes were only partially offset by higher selling prices. Within U.S. Simple Meals, sales of U.S. Sauces were comparable to the third quarter of 2011, with Prego pasta sauce achieving a 3% volume-driven sales gain, benefiting from increased advertising support and new items. Sales of Pace Mexican sauce were comparable to prior year, while other simple meal brands declined. Global Baking and Snacking segment sales increased by 2%, driven by growth in Pepperidge Farm. Pepperidge Farm sales increased, primarily driven by double-digit growth in Goldfish Snack Crackers, partially offset by declines in bakery and cookie products. Sales in Arnott's were comparable to prior year as strong growth in Indonesia was offset by a decline in Australia, driven by increased promotional spending. Within the International Simple Meals and Beverages segment, organic sales increased 2% as higher sales in Canada, Europe and Latin America were partly offset by lower sales in the Asia-Pacific region. In Europe, sales increased due to volume-driven gains in France, partially offset by lower sales in Germany. And in the Asia-Pacific region, sales decreased primarily due to declines in Australian soup, partially offset by growth in Japan and Malaysia. U.S. Beverages sales, which continue to outpace the category, increased 5% versus prior year. Sales increased, primarily driven by double-digit growth in V8 Splash beverages and gains in V8 V-Fusion beverages. Sales in the quarter benefited from a range of new products, including V8 V-Fusion Smoothies, V8 V-Fusion Sparkling Flavors and energy drinks. Sales at North America Foodservice were comparable to prior year as volume-driven gains in fresh chilled soup sold at retail were offset by declines in frozen and canned soup. Operating earnings for U.S. Simple Meals decreased by 14% to $120 million this quarter. This decline reflected lower earnings in both U.S. Soup and U.S. Sauces. Within the segment, lower volumes, cost inflation and increased advertising and consumer promotion expenses were partly offset by higher selling price and productivity improvements. I mentioned higher selling prices in U.S. Simple Meals. Recall that we took a 5% increase across U.S. Soup in June 2011 due to significant inflation. We expect continued inflation, although at a more moderate level, in soup input cost for this next year. Consequently, we're taking another list price increase in June of 2012. The 5% list price increase applies only to condensed soup. Earnings within Global Baking and Snacking declined by 11%, reflecting decreases in both Arnott's and Pepperidge Farm. The decrease in earnings was primarily due to the decline in gross margin percentage, driven by cost inflation and promotional spending, partly offset by higher selling prices. Operating earnings for U.S. Beverages were down 17%, primarily due to the impact of cost inflation, increased promotional spending and higher advertising, partly offset by volume gains. Within International Simple Meals and Beverages, earnings declined by 10%, primarily due to lower earnings in the Asia-Pacific region. Operating earnings within North American Foodservice decreased by $2 million or 9% versus the prior year. U.S. Soup sales for the quarter decreased 3%. Within soup, sales of condensed soup decreased 5%, with declines in both cooking and eating varieties. RTS sales decreased by 1%, reflecting declines in microwavable soup, partly offset by the sales from the launch of Campbell's Slow Kettle soups. Canned RTS soup sales were comparable to a year ago. Broth sales declined 4% as the decline in canned products were partly offset by the introduction of Swanson Flavor Boost concentrated broth. The U.S. wet soup market share results for the latest 52 weeks based on IRI data and internal company estimates is shown here on Slide 22. Campbell's market share declined 2.3 points to 59.6%. The change was driven by ready-to-serve soup, and ready-to-serve, other branded players and private label had market share gains. Our U.S. Soup dollar sales declined 3.6%, while overall category sales were unchanged in dollars over the past 52 weeks. We underperformed the category as a result of our reduction in promotions and our list price increase, among other factors. Other branded players increased sales by 7.9% in the period, while private label sales rose 1.8%. For the first 9 months, reported net sales were comparable to prior year. Excluding the impact of currency, organic net sales decreased by 1%. Excluding items impacting comparability, adjusted EBIT of $1 billion was down 8% versus a year ago. This decrease was primarily due to cost inflation, lower volumes and increased promotional spending, partly offset by higher selling prices and productivity gains. Adjusted EPS declined 4% less -- by 4%, which was only about 1/2 of the EBIT decline as we continue to benefit from our share repurchase program. Diluted shares outstanding fell by 3%. Below the operating profit line, net interest expense fell 5% or $4 million to $81 million. This decline was primarily driven by lower rates on our long-term debt portfolio. The adjusted tax rate for the first 9 months of the year increased 10 basis points to 31.2%. We expect the full year tax rate to be between 31% and 32%, similar to last year. For the first 9 months, net earnings declined 7%. And benefiting from a 3% reduction in diluted shares outstanding, EPS declined 4% to $2.03. Cash flow from operations was $838 million compared to $858 million in the prior year period. The decline reflected the impact of lower earnings, partly offset by lower cash payments associated with pension and other benefit plans. Capital expenditures of $173 million were up from $133 million a year ago. For the year, we continue to forecast capital spending of approximately $325 million. During the first 9 months of the year, we utilized our positive cash flow to repurchase 8.3 million shares at a cost of $272 million under our strategic share repurchase program announced in June of 2011 and our practice of buying back shares to offset those issued under our equity-based compensation programs. Net debt was $2.4 billion, a decrease of $282 million. As noted this morning in the earnings release, we expect net sales growth of between 0% and 2%; a decline in adjusted EBIT of between 9% and 7%; and a decline in adjusted EPS of between 7% and 5%, putting the adjusted EPS in the range of $2.35 to $2.42. We expect improved sales performance and increased investment in brand-building and innovation in the fourth quarter. Based on these estimates, we expect to achieve our guidance, with sales and adjusted EBIT near the lower end of the range and adjusted EPS benefiting from a favorable tax rate near the upper end of the range. As previously mentioned, we expect the full year tax rate to be between 31% and 32%. Thank you.
Jennifer Driscoll: At this time, we'll conduct the Q&A session. [Operator Instructions] Sean?
Operator: [Operator Instructions] Our first question comes from Ed Aaron of RBC Capital.
Edward Aaron - RBC Capital Markets, LLC, Research Division: Maybe just to start on the soup business, wanted to ask about the decision to take price on condensed but not on ready-to-serve. Is it -- is that maybe an indication that you feel like you've kind of gone too far this past year to try to better separate the relative pricing between condensed and ready-to-serve?
Denise M. Morrison: Ed, yes. We believe that the list price increase that we took on ready-to-serve, coupled with the pullback on trade spending, was enough this year and that increasing the price on that particular line of soup next year was not prudent. That said, we believe there is still pricing power on our condensed line.
Edward Aaron - RBC Capital Markets, LLC, Research Division: Okay. And then maybe just as a kind of a general follow-up to the soup business. I mean, Denise, do you feel like looking at kind of where you are year-to-date that -- you have this plan to stabilize and then grow the soup business. Do you think you've kind of hit the point of stabilization yet? Or do you think it's premature to kind of claim victory on that?
Denise M. Morrison: We have just hit the point of stabilization. I wouldn't declare victory yet, but we are largely where we expected to be year-to-date, despite the third quarter.
Jennifer Driscoll: [Operator Instructions]
Operator: Our next question comes from Bryan Spillane of Bank of America Merrill Lynch.
Bryan D. Spillane - BofA Merrill Lynch, Research Division: Just a follow-up to Ed's question. Just in terms of the price increase in condensed soup, Denise, can you just talk about what the interaction between ready-to-serve and condensed soups has been, I guess, through the course of this year and then just how you feel or think about the price gap right now between condensed and ready-to-soup (sic) [ready-to-serve]? And I guess my question is just simply, is there some risk that condensed bleeds market share to ready to soup -- ready-to-serve if you take a -- taking another price increase?
Denise M. Morrison: Well, first of all, on the price increase, pricing and productivity improvements must offset the inflation that we're going to experience next year so that we can invest in brand-building and innovation. We think that's very important. As we plan this, we are not crossing any key pricing thresholds, particularly on our icons. And we anticipate to maintain the normal price gaps between ready-to-serve and condensed, which would minimize the interaction between the 2 soup sub-categories. And of course, we'll watch this very closely as it plays out in the marketplace.
Bryan D. Spillane - BofA Merrill Lynch, Research Division: So you feel like you're at a good point right now in terms of the way those 2 have interacted with each other.
Denise M. Morrison: Yes, we feel that we've made significant improvements since we've pulled away from the severe price discounting that we had last year.
Operator: Our next question comes from Chris Growe with Stifel, Nicolaus.
Christopher Growe - Stifel, Nicolaus & Co., Inc., Research Division: I just wanted to ask you, in any relation to some of the new products you have come out, they're more heavily focused on ready-to-serve. There’ll be some more promotional spending behind those products next year. Is that at all a factor in this decision on pricing between condensed and ready-to-serve? And I guess, also I understand, with those new products, do you anticipate incremental shelf space for those products through the launch in early fiscal '13?
Denise M. Morrison: Yes, Chris, let me take the last part of that question first. Obviously, we are introducing double the rate of new products that we had last year, and our sales team is working right now collaboratively with retailers to make sure that we get the proper shelf space to accommodate those products. So that's in the works, and the response has been very favorable by our customers. And we focus those new products largely on Millennials and their preferences, and so that's why we have more in the RTS line of soup than in condensed. But that said, we are working on introducing some new news to condensed soup as well, and we will continue to do that.
B. Craig Owens: I think the price increase or the lack of a price increase on RTS doesn't have much to do with the new products. For the most part, the new products will have independent pricing decisions against them. There'll be a few line extensions and new variety flavors in the existing RTS line, but it didn't play much into the decision about price increase.
Operator: Our next question comes from David Palmer of UBS.
David Palmer - UBS Investment Bank, Research Division: Denise and Craig, I had a feeling from your previous communications that you were going to be looking at the second half of this fiscal year as more of a clear view about the momentum in your business. Do you feel like this quarter is a pretty good judgment quarter for you as you look at your business and your brand momentum? Or do you think there was still some noise in there that we should be thinking about?
Denise M. Morrison: I think that the momentum is better on our beverages and our baked snacks businesses and our sauce businesses. I don't think the momentum is better on Australia. And I think it's better than it was, but it's still not all the way where we want it to be. And in our soup business, we're about where we would -- we expect it to be on a year-to-date basis. And we are optimistic that as we introduce the new innovation, going forward, we'll start to pick up accelerations in our growth.
Operator: Our next question comes from Akshay Jagdale with KeyBanc.
Akshay S. Jagdale - KeyBanc Capital Markets Inc., Research Division: My question is regarding the effectiveness of your marketing spend, especially in light of some of the issues you discussed relating to the center of store category. So you talked about, I think, something like 52 new products. I mean, what are you doing differently in terms of your innovation to increase the effectiveness of your brand-building efforts? Because clearly, the level of your brand-building, it seems like you've taken it down on your base business.
Denise M. Morrison: The effect of our increased marketing support was mixed. We had, as I said, much better performance in beverages, baked snacks in Canada. And I think it's fair to say that we're constantly looking at the efficiency and effectiveness of our advertising and consumer promotion. And we also have an awareness that there are multiple drivers of demand that need to be balanced, and that balance could look different based on the business. So in our soup business, we had increased advertising and consumer promotion. However, with the pullback on trade promotion and the increased price that the consumer realized, we don't believe that we struck the right balance this quarter.
Operator: Our next question comes from Ken Goldman of JPMorgan.
Kenneth Goldman - JP Morgan Chase & Co, Research Division: Craig, I think you said the adjusted tax rate declined in part because of lower taxes on foreign earnings associated with revised dividend projections. Is that correct?
B. Craig Owens: That's correct.
Kenneth Goldman - JP Morgan Chase & Co, Research Division: What does that mean exactly?
B. Craig Owens: It means that we have, through a combination of cash and tax planning, determined that we can forgo some of the dividend activity that we had previously planned from our foreign subsidiaries, which saves us on the dividend tax rate. And we still feel like we'll be able to hit our cash flow targets.
Kenneth Goldman - JP Morgan Chase & Co, Research Division: Okay. So dividend is back to the parent, not dividends to shareholders, right?
B. Craig Owens: That's correct.
Kenneth Goldman - JP Morgan Chase & Co, Research Division: Okay. And then, Denise, I'm curious about your comment that the condensed soup business has pricing power right now. And given the difficult volume environment, I must admit I just don't understand quite the commitment to high margins when the business is shedding volume a little bit. I would have thought you needed to go the other way, that is, take prices down to eat some margins. Because you are earning, I don't know, 30% margins, maybe more, when the food industry average is closer to 10%, 15%, and your condensed volumes are heading the wrong way. So if you could just help us understand that a little bit more. I know we’re beating this a little bit down, but I'm just curious to follow up there.
Denise M. Morrison: Well, in looking at the categories in simple meals, most of those categories have had substantial increases in prices over the past couple of years, predominantly due to increases in cost inflation, and we have had the same. And we believe that we need to at least cover cost inflation between productivity and pricing so that we are able to effectively spend back in brand-building with the consumer and increasing our innovation. And we believe that condensed soup could -- is still a very, very good value relative to other simple meals in the grocery store. And as long as we can maintain the balance of pricing and advertising and new product news, we believe that the consumer will respond to that.
Operator: Our next question comes from Matthew Grainger of Morgan Stanley.
Matthew C. Grainger - Morgan Stanley, Research Division: So in the release, you highlighted some improvement in soup sales during the quarter in Canada, where I believe you're moving toward a similar strategic approach of lower promotional spend, higher innovation, similar to what you're doing in the U.S. Is there a clear divergence in how your soup business is performing there relative to the U.S. or how consumers are responding to the brand-building efforts? And if so, what do you think is driving that?
Denise M. Morrison: I think in Canada, they have a different balance of advertising, consumer and merchandising. And that worked very effectively for them this quarter.
Operator: Our next question comes from Eric Katzman of Deutsche Bank.
Eric R. Katzman - Deutsche Bank AG, Research Division: I guess one question, one follow-up, kind of related to Ken's question. I mean, Denise, just speaking more broadly for the industry, I mean, aren't we in this just kind of intractable problem of inflation and raised prices, alienate the consumer to a certain extent and then try to advertise back? But it seems with volumes down across the industry, that the advertising isn't doing what it's intended to do.
Denise M. Morrison: I think that the advertising has worked better on condensed than it has on RTS this year. The amazing campaign has driven condensed consumption to where we planned it to be. I think that the advertising on RTS has not been as differentiating as we thought it would be, so we have to make our course corrections there. I actually walked a store this weekend and looked at some of the different pricing on simple meals, all the way from frozen entrées to cereal to perimeter offerings, et cetera. And it is astonishing how good a value our condensed soup is relative to some of those other items. In fact, we're right up there with candy bars. So I do believe that we need to watch it in the marketplace, but I really believe that it's very important that we keep advertising and promoting with the consumer and incenting them with new recipes and ideas for usage of this product. And that's going to take money, and so we need to invest that money back in the brand-building.
Eric R. Katzman - Deutsche Bank AG, Research Division: Okay. And then just as a follow-up, Craig, did you -- you talked about the inflation in the quarter. You said you were going to have inflation next fiscal year, which is, again, why you're raising prices on condensed. What percent increase are you expecting for F'13? And what are the drivers of that? Because it seems as if most inputs are, at least on a spot basis, down year-over-year.
B. Craig Owens: Yes, I think you're right, Eric. I think the inflation that we're anticipating for next year will be lower than this year. If you’ll remember, we said this year would be something like 7% or 8% on input cost, leading to a total inflation number of around 6%. And we would expect a lower number for next year but probably still a number that will be ahead of the 3% or so that we look at as kind of a long-term guideline as to what we can absorb through productivity and enabler savings. So we'll give a more precise inflation forecast as we get closer to the year, but that kind of gets you in the ballpark of what our thinking is and why a price increase.
Eric R. Katzman - Deutsche Bank AG, Research Division: And is there something specific that's driving the 3% to 6% range?
B. Craig Owens: It's a little bit across the board. We don't see any of the key inputs to the soup business that we think would be significantly down, and I think we see a range of increases across both packaging and ingredient cost.
Operator: Our next question comes from Andrew Lazar with Barclays.
Andrew Lazar - Barclays Capital, Research Division: Denise, I found one of your comments interesting at the outset where you said you were really reviewing all aspects of the U.S. Soup business and to expect some further execution adjustments. And I don’t know, that sounded a little bit more like -- and I know you have obviously some change in leadership and such who will want to look at their own perspectives on this. But it sounds like there's still the potential for some significant shifts or course corrections in the way you're, at least, executing in U.S. Soup. And I guess I just wanted to follow up on that and see -- maybe I'm reading too much into that, or if I'm not, if we could dig down a little bit on maybe some of the key buckets maybe of where those execution adjustments need to be or whatever you can kind of share with us at this point.
Denise M. Morrison: I think, Andrew, suffice it to say that we've been working on 2 paths. One is really jump-starting our innovation pipeline, which in Soup and Simple Meals was woefully under the average, and we've been very encouraged by the progress that we're making there. The second is really to make sure that we are leaving no stone unturned as we look at the fundamentals of our base businesses. And so when I talk about the drivers of demand, that's not only trade promotion and advertising and consumer promotion, but it gets all the way into product. It gets into offerings. It gets into shelves. It gets into distribution channels. And so we are and we'll be working on our operating plans as we speak, like I said, looking at our base business with a lot of detail to make sure that we get the right balance of all these drivers of demands to drive growth.
Andrew Lazar - Barclays Capital, Research Division: Got it. Okay, that's helpful. I think it's a matter of, I guess -- a question was asked earlier also about what did you learn so far from this soup season that either makes you think you're on track for sort of next fiscal year or whether there still needs to be a lot done. And obviously, it sounds like you're more encouraged on the new product side early days, but some things obviously on the core that still needs to be sort of figured out?
Denise M. Morrison: Well, I wouldn't say that it has to be figured out. I think we've got a good line of sight to get better results on the base business.
Operator: Our next question comes from Rob Moskow with Crédit Suisse.
Robert Moskow - Crédit Suisse AG, Research Division: A question on beverages. I think this year was supposed to be an investment year to fend off competition. And as a result, operating margins are down from 24% last year to maybe around 18% or 19% this year. Do you think that you've achieved what you set out to do? And do you think that in fiscal '13, we could look for margins going higher? Or is this kind of like where you think margins need to be to keep growing the business?
Denise M. Morrison: In the Beverage business, we still see weak shelf stable juice category trends. However, our beverages have been performing and gaining share. And so the beverage business has responded, particularly our V8 V-Fusion and V8 Splash beverages, to the investment that we've made in this business. That said, we recognize that, that has come at a cost. And going forward, we will strike a balance to get back to profitable growth in beverages, with the momentum of new products and continued brand-building, which is now in our base.
Robert Moskow - Crédit Suisse AG, Research Division: Just a follow-up, how do you think your competition has reacted to the aggressive activities you've put into the marketplace? Has it cooled off a little bit?
Denise M. Morrison: I wouldn't say that the grocery store in general has cooled off. And particularly in the beverage aisle, it has not cooled off. So we expect that the industry is going to remain very competitive, but we believe that we have the brand proposition to deal with that.
Operator: Our next question comes from Alexia Howard of Sanford Bernstein.
Alexia Howard - Sanford C. Bernstein & Co., LLC., Research Division: So at the beginning of the presentation, you mentioned that consumers are shopping in new channels. We've had some other packaged food companies say that up to maybe 5% of U.S. sales are now coming from the dollar store channel. Obviously, other companies are a lot, lot lower than that. And we've also got companies like Heinz really trying to target those dollar kind of price points to get in there with a lot of new SKUs. Could you just speak to what your strategy is with regard to that very fast-growing channel right now?
Denise M. Morrison: There's no question that there has been more growth in some of the value channels this year relative to grocery. That said, we are underdeveloped in a number of those channels. And part of our innovation pipeline is to make sure that we're developing our business across all channels so that as consumers shop different places, they will find the availability of our products.
Alexia Howard - Sanford C. Bernstein & Co., LLC., Research Division: So we'd actually hear about you putting SKUs into those stores as part of the new product lineup or -- sometime soon?
Denise M. Morrison: We offer products to all channels so -- but like I said, our business tends to be more skewed towards the mainstream channels at this point.
Operator: Our next question comes from Jason English of Goldman Sachs.
Jason English - Goldman Sachs Group Inc., Research Division: Quickly on the spend level this year, the $100 million. I think you mentioned a couple of times that you're still on track to spend there. You just had to make some tactical adjustments in terms of how you spent it and where you spent it. You've got a lot of innovation coming to market next year. Do you -- as we look at the marketing and selling expense line here at P&L, are you happy with where it is as a percentage of sales? Or do you think it needs to move up materially higher to support all the new launches?
Denise M. Morrison: Well, I think that what we're seeing on a year-to-date basis is that we were down on our marketing expense in first quarter as we pulled back on nonproductive marketing expense that we had in our base. And our A&C in quarter 2 was up 6%. Our A&C in quarter 3 was up 13%. We have readied many new products to go to market. We've shifted a lot of resources inside Campbell's to form these breakthrough innovation teams and fully staff them so that there's a pipeline even beyond F'13 being built. So I think we've made in a short period of time -- remember, this has been 9 months. In a short period of time, we've made significant progress and kept the integrity of investing that $100 million in the new initiatives that we talked about last July.
Jason English - Goldman Sachs Group Inc., Research Division: What don't we see in the P&L then? Because if we look at the P&L year-to-date, marketing and selling expense up $3 million, R&D down $4 million, we don't see any of it there. Are there offsets that we just don't have visibility to?
Denise M. Morrison: Yes. There have been offsets in the Global Baking and Snacking businesses, both in Pepperidge Farm and in Arnott's, to meet competitive situations. There has been some reallocating of marketing expense, which moved to above the line, and that's part of the reason why our gross margins were down.
Anthony P. DiSilvestro: The other thing you see on the P&L within the selling and marketing line, if you'll recall in the fourth quarter of last year, we announced a pretty significant restructuring program. And the benefits of that are hitting both the administrative expense line, and also selling expense, which sits within selling and marketing, is down year-on-year.
Denise M. Morrison: Thanks, Anthony, for adding to the answer there.
Operator: Our next question comes from Rob Dickerson with Consumer Edge Research.
Robert Dickerson - Consumer Edge Research, LLC: My question is just again a little bit more focused on the balance sheet and kind of if we look at results today, what's happened overall, obviously, in the soup business for the past few years. I'm just trying to gauge as we look at Q4, should we be -- should we expect potentially a little bit more aggressive stance on buyback activity kind of going into Q4 next year? And I just ask the question because, if I look year-over-year, kind of look at the trend in your buyback activity relative to your balance sheet strength, it just doesn't seem like you're buying back that much stock, and I thought you would be.
B. Craig Owens: Yes, Rob, we've typically -- well, we've said and we have typically acted against the notion that the buyback program would be sort of the last piece or the lowest priority in terms of reinvestment to the extent that we can reinvest in our business, our existing business, that's first; and to the extent that we can find attractive external development projects, that would be second. And then we have sort of a philosophy of maintaining a pretty steady approach to payout ratio and our dividend. And then to the extent that we have excess cash, we tend to use that in our buyback program. And that's -- I mean, it's a little up and down by quarter. But broadly across time, I think that's what you would expect to see. We are not looking to significantly change the leverage in our balance sheet one way or the other with our share repurchase program.
Robert Dickerson - Consumer Edge Research, LLC: And would that be the same for any type of potential acquisitions like you, again, aren’t looking to significantly change your leverage?
B. Craig Owens: Well, I think that would then depend on the size of the acquisition, the opportunity that we saw available. So no, it wouldn't necessarily be the same answer on acquisition.
Operator: Our next question comes from Erin Lash of Morningstar.
Erin Swanson Lash - Morningstar Inc., Research Division: I had a follow-up on the breakdown of marketing versus promotional spending. And I know that you've been focusing on marketing spending, specifically within the soup business. But obviously, you talked in this quarter about the increased promotional spending behind the Global Baking and Snacking segment. And I was wondering if you -- what your expectations were of that spending going forward and, just overall, the breakdown between marketing versus promotional spending from a consolidated perspective.
Denise M. Morrison: Yes, there isn't a single answer on the breakdown of marketing versus promotional spending. Again, each business, depending upon its situation, will have to strike the right balance of what that looks like going forward. That said, in our Baking and Snacking businesses, as they faced more competition in the marketplace, they made choices to -- we still spent advertising and consumer, but they made choices to reallocate some of those funds to more competitive promotion in the marketplace.
Erin Swanson Lash - Morningstar Inc., Research Division: So is the promotional spending in Global Snacking and Baking more effective than its -- than in U.S. Soup for instance?
Denise M. Morrison: See, we've been very pleased with the investment in advertising and consumer, particularly on our Goldfish brand.
Operator: Our next question comes from Andrew Lazar of Barclays.
Andrew Lazar - Barclays Capital, Research Division: I know you won't give your fiscal '13, obviously, earnings guidance until the fourth quarter. I'm just wondering if there are any other, let's say, discrete sort of puts and takes that we should think about, not quantifying but just buckets that we ought to at least think about from an expectation standpoint that affect things or you think will affect things next year one way or the other, whether it's pension or, obviously, costs as you talk about from an inflation standpoint, but other things that might be harder for us to just see at this stage, that we just want to take into consideration.
B. Craig Owens: Yes, Andrew, there are a lot of moving parts, as you know, and I hesitate to pull out 1 or 2 of those and get people focused on those moving parts and not on others. I mean, on pension, I guess the biggest driver for everybody that has a pension plan will be the fact that discount rates are falling, and so we'll have to watch that. But I really don't want to get into shining a light on particular pieces of the puzzle this early in the game, and we'll kind of continue the dialogue around F'13 at our Analyst Day in July.
Operator: Our next question comes from David Driscoll with Citi Investment.
David Driscoll - Citigroup Inc, Research Division: Two quick follow-ups. The first one is on the advertising. Craig, when you laid out at CAGNY and, Denise, when you laid this out at CAGNY, you put the pie chart up and you showed something like 25% of that $100 million to go into A&C spending for the year, so about $25 million. Do you still expect to hit that? And then on slotting fees for all the new products, do any of those fee expenses show up in the fourth quarter? Or will all the slotting fees really show up in F'13?
B. Craig Owens: To answer the second question first, there's almost always some of the slotting activity that shows up in the prior year, so you should expect some of the slotting expense to be in the -- that would show up in this quarter. I think that as we think about the $100 million, probably of that $100 million, more than 25% of it would be in marketing by the time we get to the end of the year, either marketing support of new product introduction or new product initiatives or marketing support against the brand building initiatives in some of the key areas that we have focused on this year.
David Driscoll - Citigroup Inc, Research Division: So above and beyond just A&C, you're saying. So I thought the chart had said $25 million to A&C.
B. Craig Owens: Yes, and I'm saying I think more than $25 million to A&C.
Denise M. Morrison: 25%, yes.
Operator: Our final question comes from Rob Moskow with Crédit Suisse.
Robert Moskow - Crédit Suisse AG, Research Division: Did you, Craig, give an update on gross margin guidance for the year? Is it still down 100 basis points? And then as you look to fiscal '13, I know you don't want to talk about it much, but to what degree does condensed volumes probably being down from the price increase impact manufacturing efficiencies?
B. Craig Owens: So with respect to gross margin, you're right. We have sort of pulled our gross margin expectation down as we've gone through the year. Obviously, we're able to -- against our guidance, to pretty well offset that. We're still looking at being, as we said in the -- both the release and in the script, we're looking to be within our guidance. But I suppose that for the quarter, we were down about 160 basis points. And as we look forward for the full year, we would expect to be down probably a little bit more than that 100 basis points at gross profit for the full year. With respect to F'13, again, I mean, we're just -- we're not at the point of giving guidance for F'13 yet, so we'll hold that one.
Robert Moskow - Crédit Suisse AG, Research Division: Okay. So you think maybe down 120 for fiscal '12?
B. Craig Owens: That's probably closer, yes.
Denise M. Morrison: Thanks for the questions, and thanks to all of you for your attention. In closing, we've made solid progress towards reinvigorating our innovation pipeline. We remain committed to our long-term growth strategies, and we recognize the need to continually refine our execution to drive improved performance. We firmly believe that meaningful, consumer-focused innovation, excellence in brand-building and expansion into high-growth segments and geographies are the recipe to maximize long-term shareholder value and create a meaningfully different Campbell over time. With that, I'll turn it back to Jennifer.
Jennifer Driscoll: Thanks, Denise, and thank you, all of you, for your participation on our third quarter earnings webcast. As a reminder, a replay will be available beginning in approximately 2 hours. If you are a reporter and have questions, please call Anthony Sanzio at (856) 968-4390. Investors and analysts should call me, Jennifer Driscoll, at (856) 342-6081. This concludes today's program. Have a great week, and you may now disconnect.
Operator: Thank you. Ladies and gentlemen, thank you for your participation in today's conference. This does conclude the conference. You may now disconnect. Good day.